Operator: Good day, ladies and gentlemen, and welcome to the Q4 2018 Equity Bancshares Inc., Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to introduce your host for this conference call, Mr. Jacob Willis. You may begin.
Jacob Willis: Good morning, and thank you for joining our Equity Bancshares presentation and conference call, which will include discussion and presentation of our fourth quarter 2018 results. Joining me today are Equity Bancshares' Chairman and CEO, Brad Elliott; and Equity Bancshares' Executive Vice President and Chief Financial Officer, Greg Kossover. Presentation slides to accompany our call are available for download at investor.equitybank.com. The presentation accompanies discussion of our Q4 results and is available by clicking the Presentation tab to download the PDF. You may also click the event icon for today's call posted at investor.equitybank.com. If you are viewing this call on our webcast player, please note that slides will not automatically advance. Please note slide two including important information regarding forward-looking statements. From time-to-time, we may make forward-looking statements within today's call and actual results may differ. Following the presentation, we will allow time for questions and further discussion. Thank you all for joining us. With that, I'd like to turn it over to Brad Elliott.
Brad Elliott: Good morning. Thank you for joining the Equity Bancshares' fourth quarter 2018 earnings call. Greg and I are pleased to share with you the results of our fourth quarter, capping the most profitable year in our history and we are excited to share with you several initiatives as we begin 2019. The fourth quarter marked another solid performance from our company with earnings adjusted for mergers and acquisitions at $0.66 per share. We will explain the details in a few minutes, but first I want to discuss our strong deposit growth in 2018 and the initiatives we have been investing in for 2019 and beyond. Simply put, our retail teams did an outstanding job in 2018, growing deposits 8% organically in addition to the mergers in 2018 of three banks: First National Bank of Liberal, Adams Dairy Bank in Kansas City, and City Bank and Trust in Guymon, Oklahoma. Our retail teams not only integrated these locations, but also remained focused on growing our core deposits organically. Growth at this rate does not come easily, especially in the competitive environment all banks are currently in for deposits. Led by Craig Anderson and Wendell Bontrager, our retail teams outperformed because they remained focused each day growing deposits one account at a time, serving our customers with care and professionalism and working together in every one of our markets to grow core deposits. We grew transaction accounts $510 million, including growth in average non-interest bearing checking accounts of $169 million or 66% from December 31, 2017, and total deposit grew $741 million or 31%. With this deposit growth, we were able to fund our loan growth and pay down Federal Home Loan Bank advances of $185 million from a high point of our borrowings in 2018, continuing to pay down Federal Home Loan Bank remains of one of our top priorities. Just as exciting as the deposit growth, we have been making investments to grow our banking platform. We have now entered the trust services business with a base of about $50 million in trust assets acquired in the City Bank merger. As our platform for traditional deposits and loan accounts has grown to over 80,000 and 15,000 respectively, we now provide trust services for those customers of ours who have or will have that need. It is very exciting for us to enter this business line with the team in Guymon, who have done an excellent job of serving their customers and markets for so many years. We will continue that legacy by growing our trust business and offering it to the customers in the rest of our franchise. Also in December, we hired Gaylyn McGregor, a very experienced top-notch wealth management professional here in Wichita, Kansas. I have known Gaylyn and her family professionally for many years, and I know what the Midwest financial community knows, she is the best at what she does. With our customer base, with our retail employee base and with her skillset and passion, we will soon be a leader in the area of wealth management. We have also continued to make significant investments in our current products, most notably with our conversion this week to Q2, our new online banking platform. This is one tough assignment for our information technology and retail teams, tougher, I think, than the mergers. Led by Julie Huber, John Blakeney, and Jennifer Johnson, the teams have done wonderful work and Yeoman’s effort to handle this conversion smoothly and effectively. Our customers now have an enhanced online banking platform they and we can grow with for many years. In addition, we have entered into an agreement that will allow us to offer business-purchase cards and credit cards to our corporate customers, which we previously referred to correspondent bank and were getting little revenue from. Also, Shawna Palmieri has joined the Equity Bank team to lead Treasury Services to help grow the platform commensurately with the growth of the bank. The revenue potential of this initiative is another exciting addition to our non-interest income. In the midst of all our recent merger activity, we have continued focus on our platform and organic growth, and it is exciting to see our team increase our offerings to our customers. Greg and I will now go through our fourth quarter results.
Greg Kossover: We start where Brad left off on deposits with 2018, a growth of $741 million, of which $229 million was organic. This represents total growth of 31% and organic growth of over 8%. Excellent results in a competitive environment. These deposits funded loan growth during the year of 6% organic and 21% growth overall. Further, non-interest-bearing deposits grew $137 million or 37%. Non-interest bearing deposits now represent 16% of our deposit base, up from 14% last year. Our loan-to-deposit ratio stands at 81% at year-end, and we grew our investment securities portfolio $220 million. As Brad mentioned, we were also able to pay down Federal Home Loan Bank advances to $385 million or about 11% of total liabilities from a high of $570 million during the year. We are also continuing to pay down our line of credit with the expectation it will be reduced to zero at the end of the first quarter. Brad?
Brad Elliott: One of our goals is to continue the growth we have achieved in core deposits which will fund a robust loan pipeline and continue retiring Federal Home Loan Bank advances. We have used Federal Home Loan Bank advances wisely to leverage our balance sheet through the merger and organic growth cycles with even more tools in the chest such as wealth management, private banking, and a more robust treasury services platform. We expect this area of our balance sheet to continue shifting to core deposits and away from borrowings. Further, we are happily anticipating the addition of our new Guymon and Cordell Oklahoma locations acquired for MidFirst. These two new banking locations will add to our Southwest footprint and bring just under $100 million in core deposits to help continue on with the momentum built by our retail teams. This merger is expected to close in the middle of this quarter.
Greg Kossover: Our credit quality remains strong with year-to-date net charge-offs at a very small four basis points of loans. And as Brad said, our loan pipeline continues to be large and healthy. All of our Metro markets continue to demonstrate strong growth and opportunities and our community markets continue to modestly outperform our expectations for quality loan production.
Brad Elliott: That is correct. We have very experienced and seasoned lenders in all markets who understand the need for continued growth, but only as we adhere to our self-imposed high-credit standards. Our ALLL grew $3 million in 2018 or 35%, because we have very small net charge-offs and also because we believe the nature of our composition of our portfolio and borrowers continues to be of high quality. As I did last quarter, I'd like to spend a moment on slide 13 our Metro market's organic loan growth. Each of our three Metro markets has shown considerable growth in 2018, Wichita up 27%, Kansas City up 10%, and Tulsa up 10% in 2018. The teams in these markets have worked hard to control risk as we have grown and filled our pipeline which today stands at over $250 million of total net perspective origination.
Greg Kossover: And as Brad and the team have grown the loan book our OREO has declined to $6.4 million from $7.9 million from one year ago and our classified assets to regulatory capital have declined from 24.8% to 21.7% and non-performing assets to total assets have declined 55 basis points to 97 basis points at 12/31/18. We do have one credit relationship that has been downgraded to watch and substandard for $19 million and $9 million respectively at December 31, 2018. These two credits are related to the same operator. This relationship is not indicative of a systemic issue in the portfolio, rather one operator who is experiencing difficulty and is working with us to possibly restructure or liquidate his business to resolve his relationship with us. At December 31, 2018 we do not expect a credit impairment based on the collateral and circumstances. Our total reserves to loans are 1.03% at December 31, 2018 of which 45 basis points is traditional ALLL.
Brad Elliott: I continue to be pleased with our use of capital as our leverage ratio stands at 8.6% and our tangible common equity to tangible assets is at 7.71% up nine basis points from September 30, and it is increasing rapidly with our current earnings stream. As we said last quarter dropping below 8% is something we do from time to time, but only with the expectation we will grow it back above 8% in a reasonable timeframe. Tangible book value per share is $19.08, up from $17.61 at 12/31/17.
Greg Kossover: As we turn our attention to the income statement, I want to first start with an analysis of the net interest margin. Our net interest margin was 3.70% this quarter below our guidance of around 3.75%. Accretible yield and loan fees were modestly above where we expected, contributing approximately 58 basis points to loan yield. The coupon on the loan portfolio increased 15 basis points quarter-over-quarter from September 30 and 45 basis points since December 31, 2017 as our teams continued to produce loans with increasing coupons. Overall yield on loans was 5.91% for Q4 compared to 5.40% one year ago and 5.73% at September 30. Overall earning asset yield was 5.05% in the fourth quarter compared to the 4.94% in Q3. As Brad discussed earlier, we are putting heavy emphasis on core deposit growth and reduction in Federal Home Loan Bank advances. And as such our total cost of deposits increased 26 basis points in the fourth quarter from 95 basis points going to 121 basis points. The estimated beta on time deposits was 94 and the estimated beta on transaction accounts was 63. The Q4 cost of interest-bearing signature accounts was 1.18% compared to 0.92% in Q3 and the cost of time deposits in Q4 was 1.87% compared to 1.55% in Q3. The fourth quarter is always our heavy quarter for inflows of public fund deposits. As we have stated in the past, these were core deposits to our franchise and they typically carry operating accounts with us as a part of their banking relationship. Thus they can be very competitively sought after. Our communities favor banking with us and we believe responsibly banking their public entities as part of our core platform. In a rising rate environment that will contribute to rising betas and mild margin compression, but in the long run we believe it is responsible banking. FHLB overnight borrowing costs rose to 2.50% for the quarter as rates increased. As Brad stated earlier we will continue to strive to reduce our use of FHLB advances as we grow deposits. Overall cost of funds increased 18 basis points in the fourth quarter to 1.40%. Overall, net interest earnings were $33.3 million, up from $24.6 million a year ago. The $33.3 million is against consensus of $33.9 million accounted for in the modestly higher cost of deposits, previously discussed.
Brad Elliott: I challenged our retail teams and executive leadership early in 2018 to stay competitive and out-hustle our competition on deposit growth. They in fact executed on this and Wendell and Craig deserve a lot of credit along with their teams to having grown deposit this significantly. The reality we faced today is not only increases in rates but also increasing competition for core deposits. Our cost of deposits has risen, but are still cheaper than the more expensive Federal Home Loan Bank borrowings we are retiring. However, Greg and I believe our overall cost of funds will stabilize and we will continue to press for higher yields on the same types of assets we currently invest in. 
Greg Kossover: Non-interest income was $5.4 million for the quarter, the same as Q3 and in line with consensus. The year-over-year increase of $1.345 million is principally attributed to merger activity. Non-interest expense was $24.2 million without merger expense and $1.1 million above consensus. This is principally attributed to expenses for an abandoned capital raise in connection with a possible merger, higher compensation expense for production bonuses, increased IT expense relating to development initiatives and slightly higher travel, personnel, over time and training related to merger and growth activities. Income taxes were modestly higher in the fourth quarter at 23% and about 22.4% for the year, generally in line with expectations. Moving to our reconciliation of earnings per share for the quarter, stated diluted earnings per share for the quarter are $0.62 per share on $9.9 million in net income allocable to common stockholders. Mergers and its acquisitions expense adjusted for income taxes hurts earnings $712,000 and EPS by $0.04 per share. Fourth quarter earnings and EPS reconciled for these items are approximately $10.6 million and $0.66 per share. This leaves Equity Bancshares with a return on average assets as stated at 1% and adjusted for merger expenses of 1.07%. Return on average tangible common equity as stated is 14.17% and adjusted for merger expenses of about 15.2%.
Brad Elliott: On Monday of this week we held our 16th Annual All-Employee Meeting where every employee of Equity Bank meets in Kansas City to hear the current year's message from their local and departmental leadership and also to hear from the executive leadership about our 2018 results and near-term strategies to grow our customer, shareholder, market and employee satisfaction. It gives me great pride to know that everyone at Equity Bank shares the common message of I care, integrity, customer service, accountability, respect and entrepreneurial spirit. By starting with our customers and by taking care of our employees and by hard work and with the same entrepreneurial spirit we have always embodied, I believe we can continue to deliver the shareholder value that our shareholders have come to expect from us. At this time, Greg and I will entertain questions.
Operator: [Operator Instructions] Our first question comes from Jeff Rulis, D.A. Davidson.
Unidentified Analyst: Hey, guys. This is actually Drake on for Jeff this morning. My first question is on the credit quality side, we've seen some MPA progress. Do you think that will continue going into 2019? Or do you think that was a little bit lumpy in a good way?
Brad Elliott: Yes. We have focused in a concentrated effort to really reduce our MPAs and any credit that we think is undesirable in the company thinking that there is at some point a recession in the future. So I would say, we’ve continued to see improvement in this part of the credit cycle as we're working really hard to bring things to resolution with any opportunities that we can move along.
Unidentified Analyst: Okay. Great. And then you -- I believe you said the MidFirst deal should close middle of the quarter. As you move on from that, are you seeing anything out there for M&A activity? Anything that interests you?
Brad Elliott: Yes. So we always have lots of conversations going on, but I would tell you at this time of the year is the time that companies usually gather their financial information together and have either met with their Board or will meet with their Board to talk about bring a package together to take their bank to market, so we usually see a flurry of opportunities in that March and April timeframe, and so I would anticipate that this year would be the same as the years past.
Unidentified Analyst: Okay, great, guys. I’ll step back.
Operator: Our next question comes from Terry McEvoy with Stephens.
Terry McEvoy: Hi, guys. Good morning.
Brad Elliott: Good morning, Terry.
Terry McEvoy: I understand and can see that the growth in deposits, particularly in the fourth quarter. But I also noticed the increase in cost of funds coming in above what I'm seeing at peer banks and across the industry. And I guess my question is, is this simply a function of you guys being aggressive on pricing to get the business or is it a more reflection of the marketplace and this is a rational way for the bank to raise deposits, particularly given the shortfall in the margin last quarter that Greg you mentioned?
Greg Kossover: Terry, it really is a function of us staying aggressive on rates. Remember, we have a couple different dynamics. One is we're still carrying Federal Home Loan Bank advances that we'd like to continue to see decrease on the balance sheet. Secondly, in the fourth quarter, we see a lot of activity in our public funds deposits. We run two models. We run a metro model and a community model. And in the community model, we love to bank all of our public entities and we treat those as core deposits to the relationship they have, lots of employees who also bank with us and that environment tends to be more competitive, and we will remain competitive to continue to fight for those deposits. So, part of it is yes we are staying aggressive on rates and part of it is we feel that's a good trade-off for Federal Home Loan Bank advances.
Brad Elliott: And to that note, Terry, many of those go out for bid every three years, and many of those we are an incumbent on for 15, 20 years in our community banks that we've acquired or have grown organically. And so those funds come in with the tax revenues, they come in at year-end and so those rates were already kind of preset and so those funds come in and weren't something that we either bid on it, during that period, but are kind of tied to a marketplace index.
Terry McEvoy: And then just a question on the net interest margin, it sounds like accretion was a bit higher in the fourth quarter. Could you just talk about your expectations around the margin for 2019 on maybe a reported basis and on a core basis, and whether that kind of that 3.75% is now lower or maybe you can achieve that at some point in 2019?
Brad Elliott: Yeah. It's a great question, Terry. I think, given what we are seeing for deposit betas, I think that this quarter is indicative closer to 3.70% maybe even down to 3.65% in Q1 and Q2. We are continuing to re-price Federal Home Loan Bank advances as we pay them down, I should say pay them down not re-price, I'm sorry. And then also the on-boarding of MidFirst will help with that, which is expected to occur in the first half of February. So I think margin guidance really is closer to 3.70% than the 3.75% or 3.80%, and it may even move down some to 3.65% depending upon how we see the deposit betas. I will also say that we've been fortunate that we are putting on loans at the end of 2018, upwards of 90-plus basis points higher than what we were at the beginning of 2018. So we are getting also re-pricing on the asset side of the balance sheet, which is helpful, but we are going to be fairly conservative in our guidance on margin.
Terry McEvoy: And then just maybe one last question, if I could, on expenses. There's the merger charges and then there's also been lots [ph] of moving parts within the core expense line. Could you help us just think about 2019, how you are thinking about expenses either on an absolute dollar amount or some sort of growth rate on a core base coming off of 2018? 
Brad Elliott: Yeah. It's probably easier to look at it at an absolute dollar amount because of all the noise and mergers from 2018. We are looking at somewhere between 23 – high $23 millions to low $24 millions per quarter, so $23.8 million let's say in Q1 and somewhere around $24 million, $24.1 million, $24.2 million the rest of the year.
Terry McEvoy: Okay. I appreciate it. Thank you.
Brad Elliott: Thank you, Terry.
Operator: Our next question comes from Michael Perito with KBW.
Michael Perito: Hey, guys.
Brad Elliott: Good morning, Michael.
Greg Kossover: Good morning, Michael.
Michael Perito: A couple of questions for me. I wanted to start on the comment Greg you mentioned that there was a deal that you guys were working on and there were some expenses related to it – to potential capital raise. Now just – obviously the pipeline remains active, I was wondering if you guys can maybe just give us an update on some of the hurdles? Or how you guys think about having to raise incremental capital and the relative attractiveness of the deal that will require you to raise that capital? I'm just curious, if you can provide some updated thoughts on that?
Greg Kossover: Yes. The deal in particular was a couple deals actually bundled together that were all cash. And so that market changed a little bit. It wasn't totally the market by the way. We had -- on one of the transaction we were still able to go forward with it. We just got uncomfortable with the management team there. They wouldn't sign the agreements the way we wanted them signed. And so we've been very disciplined, knock on wood. We've been -- we protected ourselves by making sure that all employees sign those agreements, so that we don't end up with the whole group walking out the day after we close the transaction. And so we couldn't get comfortable with that, so that's when we backed away from that transaction. And the market uncertainty has -- honestly put a couple of people on pause on just where they are in their evaluations, where the market is in its evaluation. And so they are doing some search on that. There are other transactions that are moving forward that don't have that concern in it. So I think there is some concern in the marketplace on overall bank pricing is down 20%, what does that mean for them? And so it takes them a little while to realize that their bank is also down 20% in value. But those conversations are still going on. I think the selling season Michael is what I always call it, always happens in March and April. Banks always wait till they get their financials done, obviously the financials completed and then they put the book together take out their sell. They're always very active in March and April. And I don't see why that won't be the case again this year again with conversations that we know about. We have several meetings set up. We are going to acquire -- we acquired next week, we have several meetings set up, up there. So I think the activity -- the reason the people sell is generally age of ownership and age of management and those things don't change just because the market pricing changes.
Michael Perito: Right. I guess I was asking -- and that's great color Brad. Thank you. But more broadly, you know you guys -- I think in the past you said you preferred a knocky cash deals. So obviously in this case when it's a cash deal and you have to bring in outside capital component. Does it kind of raise the bar or raise kind of the expectation of the transaction for you guys to consider that or raise the hurdle rates? So I was just trying to get a better sense of how you are thinking about that dynamic just more broadly going forward?
Brad Elliott: So we would only do those transactions and both of these were in in-field markets for us. So we've been heavy cost savings involved in this because they were around current markets that we are currently in. And so we felt like it was worth it. We also priced them so that they have to pay for that, the cost of raise in capital. But we do prefer not to do that. We haven't done many cash deals. And so, I'd say we will be disciplined to that going forward. We've been disciplined to that over the last 15 years. The majority of the transactions we've done, of the 18 transactions have all been had a stock component to them. So I think that would be the case going forward as well.
Greg Kossover: Yes and Michael, I agree with Brad. I think that all cash deals are not as interesting to us as stock and/or stock cash deals. But if you look at Street consensus earnings for 2019 and back into what that creates for capital we are -- when we do have a cash component in a merger, we are placing that capital fairly quickly depending upon size of course. But on some of the smaller transactions we worked on there is some organic capital available to help out with the merger consideration.
Michael Perito: Got it. Helpful I think. A couple more very quickly. Brad just on the loan growth, specifically, I mean the pipeline company was helpful, but are we still -- is the pipeline still kind of support upper single-digit organic growth rate for next year? Or is that outlook changed at all?
Brad Elliott: No, it still supports that.
Michael Perito: Okay. And then lastly just I realize the financial aspect of this question might be a little tough right now as it's in the early stages, but can you help us with as you guys kind of conveyed it to the Board, what's a realistic timeframe for some of these trust and wealth and treasury management initiatives that you guys are doing trying to bolster the fee income of the franchise?
Brad Elliott: Yes, so, we have actually a platform in place today. We have about actually a $125 million under management with our -- we actually have an equity platform today, wealth management platform today, and then we have a trust department today. So, the combination of those two actually throws off some revenue. I think that management -- private wealth management trust business, I think that business will start generating revenue fairly quickly. There's a loan component that goes with that as we do some lending to some large companies as part of stock purchase plans along with we get a lot of deposits. So, the core deposit generation and the loan generation that comes along with that will pay for a lot of the salary expense. The operation expense is almost already -- I mean it's already embedded essentially Michael in the platform today. So, we hope it's a little better than breakeven this year. Is that a good way to say that, Greg?
Greg Kossover: Yes.
Michael Perito: Great. Thank you guys for taking my questions. I appreciate it.
Brad Elliott: Thanks Mike.
Operator: Our next question comes from Andrew Liesch with Sandler O'Neill.
Andrew Liesch: Hey guys. You have actually covered every single one of my question. So, I'll step back. Thanks.
Brad Elliott: Thanks Andrew.
Operator: And I'm not showing any further questions at this time.
Jacob Willis: Ladies and gentlemen, this concludes our Equity Bancshares' presentation and conference call. Thank you for joining and have a great day.
Operator: Ladies and gentlemen, you all may now disconnect.